Unidentified Company Representative: Good morning, ladies and gentlemen. Welcome to BRF conference for the results related to the second quarter of 2025. This teleconference is being recorded, and the replay can be accessed at the company website at ri.brf-global.com. The presentation is also available for download in this moment. [Operator Instructions] Before we proceed, I would like to take the advantage to reinforce that prospective statements are based on beliefs and assumptions of BRF direction and information available for the company. These statements may involve risks and uncertainties having insight that they are about future events and therefore, depends on circumstances that may or may not happen. Investors, analysts and reporters may take into account that events related to the macroeconomic environment segment and other factors may make the results be materially and relevantly different from those expressed in the prospective statements present in this conference. Miguel Gularte and Fabio Mariano. I'd like to give the floor now to Mr. Miguel, who will start the presentation. Please, Mr. Miguel, you can go on.
Miguel de Souza Gularte: Good morning. We would like to thank everyone for joining our conference for the results for the second quarter of 2025. We concluded the first half of the year reporting the best first half of the year in the BRF's history with EBITDA of BRL 5.3 billion and net income of BRL 1.9 billion. The results achieved [indiscernible] the company's operational excellence, strategic vision and financial discipline. And even in an adverse scenario such as it was the one presented in the quarter, marked by restrictions and poultry exports. We continue to make consistent progress in our market diversification strategy, increasing our active customer base and strengthening our portfolio of high-quality value-added products with a service innovations. I'd like now our CFO, Mariano, Fabio Mariano, to present the detailed results for the quarter, after which I will return for the closing remarks.
Fabio Luis Mendes Mariano: Good morning, everyone, connected. On the opening page, I would like to highlight the main financial indicators for the second quarter of 2025. Starting with net revenue, which reached BRL 15.4 billion, 3% higher than in the same period of 2024. EBITDA came to BRL 2.5 billion for the quarter, totaling BRL 5.3 billion year-to-date, the best first half in our history with performance 11% above the same period last year. This contributed to net income of BRL 735 million in the quarter and BRL 1.9 billion for the semester. Free cash flow performance was approximately BRL 850 million or BRL 1.3 billion when we're excluding the impact of Henan plant acquisition in China and the exchange rate variation on cash. Concluding the slide with leverage, we reached 0.43x the LTM EBITDA, the lowest leverage in our history. On our next slide, Page 4, on the left-hand side, we show the historical evolution of gross profit with profitability of 26.9% for the period. We reported gross profit of BRL 4.2 billion, 7% higher than in the second quarter of 2024. On the right-hand side, we can also see the evolution of EBITDA and margins, highlighting the stability for our operational results. We will now present performance by market, business segment. Starting with Brazil, we continue to evolve consistently. We reported EBITDA of BRL 1.3 billion of a margin of 16.4% with successive volume growth, especially in the processed products category. On the next page, Page 6, we emphasize our ongoing journey of commercial execution improvement, enabling us to achieve the highest second quarter sales volume in Brazil and a customer base now exceeding 330,000 point of sale. We also observed greater adherence to suggested pricing and increased product assortment in stores. Logistics service levels remain at excellent levels despite the significant increase in volumes. We remain attentive to the needs of our consumers, launching new products in the pies and ready- to-eat snack categories as well as pork cuts. We also promoted new campaigns and sponsorships, strengthening brand visibility and supporting consumer preference. We also highlight the positive results from the recently implemented initiative to expand our budget portfolio through the partnership between BRF and Marfrig brands. Now on the following page, we present the international market. We observed healthy margins in this segment with the contribution of geographic diversification, helping to mitigate the effects of avian influenza, which imposed numerous restriction on chicken exports to several destinations. EBITDA margin was 17.3% for the quarter. On the following slide, we highlight on the halal market, the launch of Sadia Fresh chilled chicken line in Saudi Arabia through the investing in Addoha Poultry. We recorded 1.4 point percentage market share gain in processed products and GCC driven by the breaded product category. In Turkey, we continue to focus on increasing processed product volumes, which grew 7% year-over-year, helping to mitigate the effects of higher local supply of fresh chicken and lower disposable income, both of which have pressured local price levels. We maintained market share leadership with Sadia at 36.2%, Banvit at 24.1% in their respective markets. On the right-hand side, we present highlights from direct export segment. We expanded business opportunities with new -- 11 new export authorizations in 2025, contributing to price maximization. Since 2022, we -- there had been 198 new exports licensed, which has allowed us to offset part of the effect caused by restriction on chicken exports. We also highlight the launch of new products, advances in processed products in the Southern Cone and the first shipments of beef cuts under Sadia brand to key destination. Now I would like to conclude the business segment presentation on the next slide with the performance of ingredients and pets. The segment reported EBITDA of BRL 52 million. In Pet, we complemented SAP implementation, strengthening controls unlocking administrative synergy capture and expanding our customer base by 8%. In Ingredients, we continue to diversify both of our product and market portfolio. Next, we share the progress of our efficiency and now also growth program presented in base 100 format. On the left-hand side, we can see annual improvements in poultry and swine, the conversion and yield indicators with relevant gain captured. On the right-hand side, we present improvements in plant utilization and volumes sold. We have made significant progress since 2022 at a pace of 50% higher than the historical average of the last 6 years. On Page 12, we consolidate the following ESG highlights, important recognition in climate change initiatives, especially for greenhouse emission management, through supplier engagement and the offsetting of emission from the quality advertising campaign, which earned the carbon-free seal, promotion of the Education for the Future campaign of our institute benefiting over 5,000 people. Lastly, the publication of the fifth transparency and integrity report, reaffirming our commitment to ethics and compliance. On Page 14, we present information related to the company's capital structure. On the left-hand side, we can see the reduction in net debt and leverage, the lowest indebtedness since 2011. On the right-hand side, we can see the debt profile, which remains diversified and long term with no short-term maturity concentration, a very comfortable liquidity position. On the next slide, we show free cash flow. The chart shows operating cash generation of BRL 2.5 billion in the quarter, investment outflows of BRL 1.3 billion, including the Henan plant acquisition in China and financial outflows of BRL 400 million, resulting in free cash flow of BRL 842 million or BRL 1.3 billion, excluding acquisitions exchange rate variation. On Slide 16, we can see the reduction in net debt during the period. We reported net debt of BRL 4.7 billion after shareholder remuneration versus BRL 6 million in the first quarter. Lower repayments will continue contributing to lower interest expenses in 2025. Thank you for your attention, and I'll hand it over to our CEO, Miguel Gularte, for his closing remarks.
Miguel de Souza Gularte: Thank you, Fabio. To conclude our presentation, we would like to highlight that the results -- the solid results for the period demonstrate our consistent track record of efficiency and value creation, which translated into the best EBITDA for the first half of the year of BRL 5.3 billion, also the lowest leverage ratio ever recorded in the company's history at 0.43x. We also highlight the maintenance of our efficiency program, BRF+, which through continuous process improvement continues to generate gains for the company. In this quarter, we recorded a capture of BRL 208 million, optimizing our results with actions aimed at improving management indicators. We also emphasize an important step towards growth and strengthening of our halal presence in the halal market through a Addoha Poultry company. We launched in July, the Sadia Fresh line of chilled poultry produced in Saudi Arabia, further strengthening our strategic partnership with the Kingdom. In addition, we increased our share in processed products in the GCC product countries driven by branded products category. In Brazil, we had another quarter of consistent progress in our commercial execution. The growth in volume and net revenue of BRL 15.4 billion were strongly driven by the increase in the customer base, which now exceeds 330,000. We continue to expand our offering of value-added products with assert of innovations in portfolios, both for Sadia and Perdigão. We also highlight the positive results of the expansion of our hamburger portfolio through the partnership between Sadia/Bassi and Perdigão/Montana brands leveraged by the breadth of our sales and distribution force. We reiterate that the market diversification strategy remains to be essential for BRF. We will continue to expand our export options, strengthening our global presence. Together with our robust data intelligence system, this strategy has given us an important competitive edge for timely decisions according to the scenario ahead. We continue to value our teams. In the last 12 months alone, we filled more than 70% of leadership positions through recruitment and recognition of our internal talent. Guided by the pursuit of operational excellence and financial discipline, we remain steadfast and optimistic in the company's journey towards sustainable growth based on our commitment to quality, safety and integrity in everything we do. I would like to conclude by thanking our Chairman and Controller, Marcos Molina for his support and strategic direction, our shareholders and the Board of Directors for their support along the way. Our sincere thanks to our customers, integrated producers, suppliers and communities where we operate. And finally, I would like to thank you for more than our 100,000 BRF employees for their commitment for the excellent quarter that we have achieved together. Thank you.
Unidentified Company Representative: We will now start the Q&A session for investors and analysts. [Operator Instructions] Our first question comes from Gustavo Troyano from BBA.
Gustavo Troyano: People, we have two points that we would like to explore with you today. The first one related to avian flu. When we look at the impact in the semester, it was very limited. The impact was very limited when we look at the numbers. What I wanted to hear from you, Miguel, focus on the part of reallocation and the permits that you developed in the past few years. How -- what was the impact like for the -- how did you mitigate the impact in China with this permit and more focused on pork cut, which is a relevant market when we look at China. And CX, it suggests that basically exportations were zero to there. So I understand that in other cuts, you're able to reallocate with more facilitation after all these permits. But I wanted to focus on this cut specifically to understand on the limit the potential to recover the margin from now on in case we see the rehabilitation of the market. I wanted to hear from you about these reallocations within the international market and how you specifically do with this cut that we know that is very important for the profitability of the company. And the second point related to cost, I -- when we get the prices of commodities up to the moment in the year, they have dropped, especially grain. And we haven't seen a reflection in your cost in your -- even international, you raised a little bit and you mentioned the effect. But I wanted to hear from you the perspective of this specific line of unit costs going forward in line with the commodities that are decreasing that we have seen over the year, if we should expect any decrease in this unit cost line in 2025.
Miguel de Souza Gularte: Gustavo, talking about avian flu, it's very important to analyze the aspect from the perspective and the perspective aspect in the past two years, BRF has worked and has been able to open permits, to get permits and plant permits in over 198 occasions. This obviously allowed us to go through this episode in a much more agile manner and assertive manner than the episode that we had last year on Newcastle disease in Rio Grande do Sul in Brazil. For me, on the other hand, it's important to see that the agricultural ministry has done an excellent work together with ABPA in the sense of all the information and agility and transparency would reach all the markets in a timely manner. This allowed that all the process of closing would have its process shortened and more agile. So we knew exactly what to do for that country, and we were able to execute what we should do in an assertive manner. It's also evident that in the case of avian flu, the degree and safety of biosecurity in the Brazilian production system sees that is endemic. So we had only one case in Brazil in the work and all the technical area, either for production or the ministry has been doing in the past few years that allowed us very fast to resume most of the markets even with a much shorter time than it was estimated. We continue close today in the Chinese market that is extremely relevant in the markets in Europe. I highlight that on the 18th of June, Brazil delivered the documents with international bodies, and we should have these reopening taking place in the next coming days or weeks. Everything indicates that this should happen. Over the aspect of reallocation of products, when you have 198 new options, you are able to transit in different locations and destinations and mitigate impact in volume and price. BRF also moves really well in the internal market with the Sadia and Perdigão brand. We have been able very quickly to make decision in face of the episode of the avian flu, we were able to redirect to the internal market, products that before were reallocated from exportation to internal market. In the case of China, specifically answering your question about pork. Obviously, or the China has a compensation value for this product, much higher than all the other markets, but it's not the only market. We could sell, and sell feed in Hong Kong or Africa, then obviously, there is a downgrade in price that we can mitigate in volume, but not in financial impact. And I also like to remind you that BRF has the pet food division. So animal feed can be turned into product for pet food -- pet feed. So these -- we always have contingency plans and what we did, the question of the contingency that we had executed during the new cattle in Rio Grande do Sul last year, -- we -- as time passed, the experiences were acquired, we improved these plans that allowed BRF as a company to mitigate in a very effective manner that this episode had an impact is still impacting for two important destinations, China and Europe. I would give the floor to Fabio to answer the second question.
Fabio Luis Mendes Mariano: Gustavo, I'm going to address your question about costs. In fact, we see the market especially in grains, a retraction, especially in corn. I see that the disclosing of the first quarter, we anticipated that movement. Our strategy was to keep less long position, especially so in the short harvest, we would have corn origination, and that happened. It happened within the planning. So we were able to acquire the amount that we had imagined. And this happened during the transition from the second to the third quarter. So it's natural that respecting this movement of the inventory cycle until this consumption cost has an impact our product -- sold product costs. This should happen now in the second half of the year. we imagine that the impact in CPV is going to happen. We have the possibility of seeing a retraction for the cost of animal feed around 2% in the second half of the year. I'd like to mention that we'd like to mention in the case of soybean flour, we could prolong the orders, not only for the second half of the year, but also thinking of the first quarter of 2026. So we understand that we can have a benefit in the consumption in the next year.
Unidentified Company Representative: Our next question comes from Julia Zaniolo, Bank of America.
Julia Zaniolo: I would like to talk a little bit about prices. We saw prices very strong for this quarter. And I would like to understand what is going to be the capacity of carrying this price at a higher point. And if you're going to increase additional prices when it comes to the international side with this volume recap, should we see a better mix prices for the next quarters?
Miguel de Souza Gularte: I will get started. Julia, and then Fabio will complement. Let's remember what was happening when it comes to the price dynamics in this quarter. So we started the first 45 days of the quarter with increasing prices at all markets, including the local market, the domestic market. And on May 15th, with the focus declaration of avian flu, we saw many markets closing down. The markets that opened or closed partially regionally, they showed a big inflection regarding decrease, but this inflection wasn't like a sharp decrease, which explains a mild impact on the international market prices with excellent results that we were able to gather. On the other side, the possibility of having all the destinations quickly reestablished and this 108 new licenses also mitigated the effect of the price impact. Without providing you with the guidance, which is not the case, we expect that if we can keep the licenses conditions because since June 26, also has been publishing Brazil as a country that is free of avian flu. We still have some other markets like China and Europe with the expectation that these markets will open. This happened. So we will have possibilities of gain some traction in these destinations. When it comes to Brazil, we live -- we're experiencing a moment of like full employment. The consumption is very high. Numbers shows that. And in consequence, the possibility that prices are going to be resilient. This is concrete. Now I would like to pass the floor over to Fabio for him to complement our -- my question -- my answer, excuse me.
Fabio Luis Mendes Mariano: Julia, the only complement that I would make has to do with the processed goods portfolio. So volumes have a big association with income, which has also an association with employment, which is something that he has just said. We had the opportunity to lead some adjustments, right, in a good part of the portfolio. And the market accommodated this prices rounds when it comes to the consumption as well as the sales channels, the competitive environment always enhanced this reallocation of prices. So we observed that in Brazil, prices year-over-year, it increased 11%, specifically when it comes to processed portfolio. Prices advanced 8%. And on the quarter after quarter, we've seen an advancement of almost 3%. So we understand that we can have other possibilities in terms of leading new rounds. I'm not going to say that it's going to happen for the entire portfolio of processed goods. We have to respect the strategies of each category as well as the regional strategy, understanding where we should act, what are the channels. And this should happen still in the third quarter. This is what we believe in.
Unidentified Company Representative: Henrique Brustolin, Bradesco BBI.
Henrique R. Brustolin: I would like to make another question in this discussion about Brazil. You delivered a gross margin in this quarter that was the largest ever since 2015, if I'm not wrong. And the discussion, the price discussion, cost discussion from the prior question, they seem to be really favorable when we look forward. My question is if there is any seasonal component or mix effect that was relevant in this quarter during the gross margin composition? Or does it make sense to think at least the carryover of these levels when we look ahead? Well, this question, was there any relevant mix effect that we should consider? And the second, also in Brazil, you have been delivering growth that is really relevant in terms of processed products volume. The question is, how can we think about that ahead? There's been that discussion over the past few years about the idle capacity and how you have been doing that, especially the filling of this capacity. The question is how much idle capacity you still have? And if we should think of this pace of growth slowing down a little bit even the investments that are being made now they have reached a point that they can be more mature?
Fabio Luis Mendes Mariano: Henrique, I'm going to start answering this question. I'll hand it over to Miguel. About the profitability of Brazil, you talked about the gross margin. I would say that in the mix aspect, we have advanced in some categories versus others, for example, margarine and process products categories. But this is not enough to provoke a change in profitability of the company. I would say that structurally, we shouldn't expect some depression in the second half of the year. I would like to remind you of the first -- what was said in the first question, this is there a cost aspect, which is an advantage. So the animal feed cost is a margin benefit over the reduction of CPV. This is going to happen gradually in the third and fourth quarter. Imagining that we also would have the possibility of readjusting prices, obviously, depending on the market conditions, we have the potential of increasing profitability in Brazil, specifically talking about processed products. And about the capacity, idle capacity, I think that we have already been doing the work since 2022 of intensifying the use of our assets, and this has a lot to do with the growth of volumes that we have observed in the company. We grew we have grown since 2022 in a pace that 1.5 fold compared to the pace that we had in the past six years. And obviously, that has been said before, but we have to invest in our capacity because we identify a very steady, solid demand for the next coming years. So if you want to have the opportunity of capitalizing this possibility of new volumes, we have to go back to investing in our plants that is very much occupied. Idle capacity, I don't want to give you a percentage because it depends on category line, it depends if you're referring to the field or to slaughtering or to processing. But I'll tell you the idle capacity, the large idle capacity that we had in the company in the past that doesn't exist anymore and much of -- many of the categories that we operate. I'm going to hand it over to Miguel so he can add.
Miguel de Souza Gularte: So adding to Fabio's answer, we saw the occupancy of idle capacity, but we continue at a growth pace and productivity. And if we compare our internal benchmark among some units or some locations, we see that we created the capacity to grow many of the lines and categories that we work with. So BRF continues being a company with organic growth capacity beyond investments that are forecasted and that are in execution. That only in this quarter, we have BRF+ delivering gain of BRL 208 million. So we are in the half of the year, in the middle of the year and our expectation, our planning is extremely assertive in this aspect. We have an important opportunity to capture synergy of organic growth. All this makes us provoke even some elasticity in our operational capacity and also we have the combination of organic capacity and investment. So we have sustainable growth for the company for the coming years.
Unidentified Company Representative: Our next question from Lucas Ferreira from JPMorgan.
Lucas Ferreira: I know that it's still early to talk about 2026. But when you look at the fundamentals of the industry of chicken industry as well as swine industry in Brazil as well as the main markets that you operate. My question is whether you see a change -- a relevant change when it comes to fundamentals to the future? Or have you been seeing like some matrix reimbursement, if you see like markets reacting to increase the offer as well as Asian markets as well like Saudi Arabia. My question is to understand how do you see this moment of the cycle? And if you see any fundament when it comes to the changes considering this cycle? My second question, maybe it might be a little bit more difficult to answer. So we talked a lot about Brazil's profitability. There are many factors, right, that explain. But since 2023, you've been operating in Brazil with an EBITDA margin that is over 15%, even though we have some exchange variation rate, raw material and the market. I know that we are in a favorable scenario when it comes to grains. But on the other side, we have many questions regarding the company like BRF+ as well as the other commercial aspects and the advancements that you've been making. My question is, imagine that we go through a more competitive market or maybe a more enhanced level a little bit over the history. Do you think that this level of operation of 15% of margin, it's a level that makes sense looking to the future in the categories that we are operating nowadays? This is the question.
Miguel de Souza Gularte: Lucas, when you see the international scenario, starting with exports as well as the different geographies that BRF works on, do you see like a perfect balance between offer and demand, having a perfect balance, very -- it's not likely for you to see an alteration that will touch the fundamentals of the business. We're talking about a business that the demand is perfectly balanced with the offer. I would say that on our segment, food segment of chicken as well as poultry as well as the beef, we have a demand that will keep overcoming the demand. So we don't see any scenario where this can see a change. Yes, we have some episodes like the sanitary episodes that we saw with avian flu. But even though these things happen, the importance of like having Brazil, it's something that we can go about the opening of markets that close. Maybe in the past, these markets would be closed. On the other hand, the company has been investing in the last years in products of like added value. Product of added value, it means products with constant demand and price resiliency. So this is also something that makes us excited, and we see this in the geographies. So the strategical moments that our controller referred to the company, especially in the Middle East, we are start seeing like results, our BRF association, our choice for the Middle East with a growth focus. If you take a look at the CX data, you will see that quarter after quarter, the Middle East has a consumption in its higher destination. We've also seen growth. In other words, you see all the international scenario, and in this scenario, we also apply the same metrics of management and measurements that we apply in Brazil. So we always think and pursue the possibility of getting better in all scenarios that we act, if it's related to export or the local market. When it comes to Brazil, we have to understand that it's not only what the Brazilian market offers us opportunities, but also the way that we -- as a company, we grasp these opportunities. BRF has constantly through the commercial excellence of its teams as well as the acknowledgment of its brands, we've been grasping these opportunities, right? The market finds a company that delivers what it sells, a company it delivers quality according to demand. And we also cover like innovation aspects that fill out in a very clear way, and assertive way, the expectation of the consumer of having quality with practicity. So I believe we are on the right track. We don't see like in a short term, I would risk maybe talking about like the long term, nothing that justifies the scenario.
Fabio Luis Mendes Mariano: Lucas, I will try to translate what Miguel mentioned when it comes to numbers, right, regarding the fundamentals of the industry. In Brazil, we see that even though we have an increase of around 3%, we don't really predict a production growth that goes above 1.5%. In the United States, this growth won't go over 2%. Maybe in Europe, it won't go beyond 2%. Maybe the only exception would be China that might present a higher growth. But let's consider that 2024 was a retraction year. When it comes to swine, it's not very different. We work with a global growth of around 2% as well. So I don't think this would be enough to provoke like offer unbalance. And eventually, it will be converted in like change in prices or trend reversion. About the margins, right, if you ask if we can ensure it, obviously, we cannot. We are part of a cycling industry, but we can say that BRF nowadays, it's much stronger, resilient and competitiveness to navigate the different scenarios as well as the more challenging scenarios. This is something that we can ensure.
Unidentified Company Representative: Our next question comes from Guilherme Palhares from Santander.
Guilherme Palhares: Two questions here from our side. If you already commented very well about the question of cost of animal feed looking ahead, we were looking inside your demonstration we saw in your statements, we saw -- we have seen some advances in the second quarter. I would like to hear when we think about other costs in this environment of employment that is very low in Brazil, what can we expect given that we have some inflationary -- inflation pressure in terms of salaries, and I would like to hear something in this sense. And also here about Henrique's questions, the product, we had a certain increase in expenditure. If you could go through expenditure in this third quarter. And Miguel, I would like to hear from you, given that we have all this experience with avian flu. I would like to get a little bit of your impression about the learnings that come from the operational standpoint to going through periods that by any chance, obviously, we don't want to happen. But if this ever happens again, does it change anything in terms of operation for you so you can get ready for an event like that, having an inventory in other countries. I would like to hear a little bit now looking back and if there would have been anything different to be done that you could have prepared to deal with the situation if by any chance it happens again.
Miguel de Souza Gularte: I'm going to start by your second question, then I'll hand it over to Fabio to answer the first one. Obviously, last year, we had the episode of Newcastle disease in Rio Grande do Sul, an episode that was traumatic. Let's remember you or [indiscernible] from Rio Grande do Sul, a person from [indiscernible]. So we had recently come from the tragic process of the floods in Rio Grande do Sul that had been extremely challenging, not only from the human standpoint that really concerned us, but also from the logistics and execution standpoint. In that moment, when we had a Newcastle, Brazil was facing the situation that was uncertain. We didn't have the dimension exactly what the consequences would be the outcomes would be of an episode that had been left behind for many years in the modern world and the path that we trailed were completely unknown. The choice that we made as a country and as a company today shows to be correct and assertive. The path chosen was transparency and the way was done with competence. So the agricultural ministry made the communications timely. The -- also the animal -- the world animal division provided all the information. countries acted and received the information timely. And we, as a sector and association, ABPA together with the MAPA we had the perfect disclaimer of all the actions, all the events. This brought us two consequences, two outcomes. The first one, the most important was high credibility, and credibility once earned, it has to be kept. Avian flu now in May, I think that the learnings from Newcastle came back, and they were put on the table and recently, and evidently, credibility earned in the prior episode had an important role. First, because we had a fluid communication and we knew the communication channels with different countries. Second, we, as a company, I'm talking in the case of BRF, it was also -- we had the lessons learned and there, we established a strategy that was preparing to have similar episodes, although in any moment for us, it was placed any doubt about Brazil's biosecurity or the Brazilian production system. We truly believed and believe in the system still, and we have contingency plans that should be active. When the avian flu sets in on May 15, we quickly, as a company, took a position of choosing options and that we had been working in the past two years at 198 new permits that showed to be extremely assertive for the moment that we were facing of the avian flu. So we were a company much more solid with very strong brands in the internal market with commercial execution that was extremely assertive in the local market in addition to exportations being more fluid. So when you have this possibility of brands like Sadia and Perdigão to be well executed in the local market, you can mitigate the effect, which is an impacting effect of the avian flu. I repeat, as I said in the prior question, still persists in two markets, China and Europe, extremely relevant. I would say that the good thing in our sector is that we always have the possibility of continue learning and humility also tells us that we can do better. This is not a speech in the company. This is the practice. And I would say that we have 3x a week here at BRF talking a little bit of the backstage, 3x a week, we get together, we meet and we discuss the aspects of avian flu with the perspective of learning and decision-making and the decision-making is collective. In this company, there is not an individual level. We have a group working together to mitigate a challenging situation for the company and for the sector. And we -- I would say that looking at the perspective with humility, we have navigated really well in this scenario. I would say I repeat, this is a very challenging scenario. I hand over to Fabio so he can answer the first question that you made.
Fabio Luis Mendes Mariano: Guilherme, I'm going to talk about the costs. As it was said, the cost of animal feed should provide a reduction of CPV in the second half of the year, very much because of origination of the corn and the short harvest and prolonged on soybean meal. When we refer specifically to labor, the labor cost, we compare this for the half of the year with the prior half of the year, we see the correlation with inflation. This is also valid for goods and services. So the expectation is that full employment should place a challenge of a higher adjustment than the inflation. I don't know if it's going to be the case. I can't anticipate that, but nothing that would significantly change the representativeness of the labor cost in regards to the total cost of sold product. Miguel is going to add something.
Miguel de Souza Gularte: I want to add. I wanted to say when I mentioned our work, our teamwork, I wanted to take advantage of your question to thank our 100,000 employees in all geographies. They have worked really hard, so we could overcome the challenging episode of avian flu. When the avian flu was informed, we in the following day, we executed the contingency plans that we had designed, a lot of work, a lot of effort and dedication and delivery. So we are thankful to all of them. I'm going to close with the second half of the first question about expenditure. What I can tell you is that structurally at BRF, we have expenditure equivalent to 15 points of the revenue. This hasn't changed and shouldn't change. What we have done, especially on the commercial side is to increase the sales force, sales for salespeople and promoters this wouldn't affect productivity. On the opposite, when we analyze expenses in comparison to revenue, this should bring captures even -- we have 6 points of variable expenses at the moment that we increase volumes, these nominal expenses, they increase. But structurally, SG&A as representation of revenue should continue its 15 points. This quarter, specifically, we have a one-off adjustment that we have highlighted in other operational results, which was the adhesion of renegotiation in the state of Minas Gerais. But excluded that, it's going to value to the 15 points that I have just mentioned.
Unidentified Company Representative: Our next question comes from Lucas from Morgan Stanley.
Lucas T. Mussi: My first question has to do with the domestic market. The price and volume combination was very strong when it comes to the domestic division. It really called our attention. So if you could provide us with more details, what were some of the main highlights of the quarter, perhaps in the processed goods? Maybe if we -- if you can see a big collaboration with Marfrig in the hamburger line or if it was another process line that you've invested more in the last years. So if you could just provide us with a little bit more details, maybe the highlights of the processed goods category. And my second question, perhaps focusing more on the detail of what you mentioned, Fabio, about storage around 3%, but the production expectation is still on the 1.5% or 2%. So clearly, we can see a loss between one stage and another. I would like to hear a little bit about what are you seeing in terms of supply or the industry performance, if it's connected to mortality or hatchability. So maybe a little bit more perspective in terms of what we're seeing in terms of the supply? And how do you see this for next year, if you can see like an improvement of the indicators, like something regarding the genetics companies like a new line. So more detail considering this specific part here of supply in Brazil.
Miguel de Souza Gularte: Lucas, we would like to take advantage -- well, since Marfrig and BRF when they started working together, a combination that starts very well like iconic brands like Sadia and Perdigão as well as Bassi combined with Sadia and Perdigão combined with Montana. So the result, it's evident. So when we put this combination on the hands of the commercial teams, Marfrig and BRF, the excellence of commercial execution. And then you have a result that we see happening and practically wise and makes us very enthusiastic towards the future because this combination, it's a combination that we've been using in the internal market, but we also started using Sadia as a beef brand in the international market. So we see this future scenario being unfolded in a combined performance, it will represent gains without a shadow of a doubt. We have plans of growing of adding value. This is something that we've been looking for by the controller orientation in the sense of working with added value products. This is something that is suitable for BRF or Marfrig. We've been working a lot on that. Fabio in last questions. He mentioned the increase of our processed goods of our value-added products. This happened not only in Brazil, but in different geographies as well, like in Turkey, in the Middle East, it happens considering the investments that we've made as well as the construction of a new factory in agenda. So this is something that has been happening. It's going to be a constant practice, a company that looks at future opportunities and works for it to be concrete and concluded.
Fabio Luis Mendes Mariano: Lucas, just to complement, and then I will also answer your second question according to the production. But I believe that in figures, Brazil's revenue grew 18% during this period versus the last year. So we have a combination of the two elements that you've mentioned. So the volume increase, the average prices is well advanced. I don't think we have only one explanation. We have all the processed goods portfolio performing very well in all the categories and also the contribution of the in natura process, even though we don't have as much opportunities, we took some passive decisions of redirecting products due to the export restrictions. So when this is done in an adequate moment, we can perform prices in a very competitive way. Everything influenced like a very good development of the domestic market. The second question, obviously, right, we have a very specialized industry in genetics. So the continuous improvement work they exist either for us to solve the equation problem or like the conversion, the food conversion of poultry as well as the swine industry. This is something that will never end. It's applied science. What happens, we have an imbalance, right? So we see that the growth doesn't really translate into the production growth. So this should happen for a while. I cannot really precise how long, but maybe we might see an opportunistic scenario like in 2025 and the beginning of 2026.
Unidentified Company Representative: Our next question from Thiago Bortoluci from Goldman Sachs.
Thiago A. Bortoluci: Miguel, Fabio, it's always a pleasure to talk to you. I have one follow-up somehow related to the avian flu topic. I don't want to be exhausting on this topic. But obviously, as everybody pondered so for the surprising results for such a challenging scenario. And we understand that we have a lot of moving parts. So I wanted to explore particularly the topic of inventory information and properly the company and the market in general chose for strategy of preserving domestic demand and not throwing the exceeding production at once. And we noticed that at BRF, an increase of a little bit more than BRL 1.5 billion of the inventory of finished product, which is natural for this moment. The question is what is the pay of releasing for this level of storage that we should have, that we should imagine for the second half of the year? And how dependent is this release or strategy of BRF product positioning today depends on an evolution, particularly from the trade with China.
Miguel de Souza Gularte: Thiago, we work here in the company with the philosophy of not keeping inventory without sales. We have been repeating that we see to produce, we don't produce to sales. So even in a continuous chain sector like in the case of swines and poultry. So our idea as the markets reopen, we have today, most of them reopened. And I repeat, we still have European market and Chinese market too. I would say these two markets resume the trend is to go back to inventory levels that are basically zero inventory without sale in the company. This doesn't mean that we are not going to have the care in the sense of not destroying value because you have today with the company has conditions to make this movement and reduce this inventory. We have an inventory that is not exorbitant. Along the next quarters, there is no chance of destroying value. Even if I have to make an analysis, I think that we have because of seasonality, great possibility of resuming at the international market level, the price dynamics that we had before. So you see that happening in certain geographies already. And we are paying a lot of attention to these movements. BRF works here with the pricing system that allows us quickly to identify opportunities. And over these opportunities, we can act as it happened during the avian flu. One thing is to know what needs to be done. And the other thing is to see what can be done and something else is to do what you saw happening. So in this quarter, we clearly had the example of that. We identified the opportunity and executed in time and weight, destined of products without destroying value, either in the internal market or other destinations, 188 that had opened.
Fabio Luis Mendes Mariano: Thiago, what I would like to add to Miguel's answer is just to remind that there is a stock formation of celebration products that influences this picture that you report. So it is correct. The magnitude, inventories are elevated very much because of important restrictions to exportation and the pace is to enjoy the best opportunities. So depending on market conditions, the speed of opening the original markets like China and the market in Europe. But we have already established all the targets so we can have the inventory normalized the fastest possible. Is it clear?
Thiago A. Bortoluci: Just an international follow-up, excellent results given the moment we're going through in spite of that, when we look at the bandwidth, we see an EBITDA margin that is negative in the quarter. in your remarks, you commented a scenario that is a little bit more tight in terms of supply and more focused on prepared product, processed products mix and added value within the portfolio. I just wanted to understand how these two forces should have an impact in the P&L, particularly Banvit in the perspective of six months, helping us understand this location until the end of the year.
Unidentified Company Representative: Well, Thiago, I think that the context of the Banvit's performance go through what we have influence on, but also go through what we don't. So today, we live in the region, excess of poultry offer growth of the production of 12% for the half of the year -- for half of the year in this puts pressure on poultry prices, a little bit of more -- 70% we sell in Turkey. We are talking about chilled poultry. And we have -- as possible, we have increased our added value products offer that is over 25%. So the company's strategy is to continue increasing this added value products offer much more resilient to this offer shocks. Recently, we have adopted an adjustment of slaughter in the region to decrease a little bit our offer, our own offer. So this because the variable cost part is higher in this in the platform in Turkey than it is in the platform in Brazil. So we relieve the cost structure to influence positively price reaction. So we already have an action plan. We understand that the performance in this region is going to improve gradually. This is not going to happen overnight, but we see an improvement in the second half of the year when you compare to the performance in the first half of the year. On the other hand, Thiago, we also have been doing the work in the past few months in a way to integrate better the Turkish platform with the Brazilian operation, both for the agribusiness and industry, as you could call the Turkey plus like BRF plus for Turkey. And we are very confident that there are many opportunities to apply knowledge and the way we work both in agro and in industry in the Turkey platforms as you have commercial, different aspects for the internal and exportation markets. The company as a whole has looked at this more challenging moment for Banvit operation, and we're really confident that the foundations of these operations can recover in shortest possible that we could indicate that any analysis, more surface analysis could indicate for that.
Thiago A. Bortoluci: And Fabio, Miguel, congratulations for the results again.
Unidentified Company Representative: The Q&A session as well as BRF teleconference is over. I would like to thank everyone's participation, and have a wonderful day.